Operator: Greetings and welcome to the RLJ Lodging Trust Fourth Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Hilda Delgado, Vice President of Finance for RLJ Lodging Trust. Thank you Ms. Delgado, you may begin.
Hilda Delgado: Thank you, operator and welcome to RLJ’s fourth quarter 2013 earnings call. On today’s call, Tom Baltimore, the company’s President and Chief Executive Officer will discuss key operational highlights for the quarter and year. Leslie Hale, Treasurer and Chief Financial Officer will discuss the company’s financial results. Forward-looking statements made on this call are subject to numerous risks and uncertainties that can cause the company’s actual results to differ materially from what has been communicated. Factors that may impact the results of the company can be found in the company’s 10-K and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP located in our press release from last night. I will now turn the call over to Tom.
Tom Baltimore: Thank you, Hilda. Good morning, everyone. And welcome to our fourth quarter and full year 2013 earnings call. We are pleased to report another year of strong growth and our third year as a public company. Our well diversified portfolio produced another year of industry-leading RevPAR growth of 7.2%, as we continue to execute our stated growth plan. During 2013, we continue to focus on our three key pillars; operational excellence, prudent capital allocation and proactive balance sheet management. First, our well diversified portfolio continues to produce industry-leading RevPAR growth. To-date, we have three consecutive years of high single-digit RevPAR expansion and cumulative growth in excess of 22%. Second, we enhanced the growth profile of our portfolio by making accretive acquisitions. During the year, we acquired over $200 million of assets in high growth markets such as Houston and Atlanta and expanded into top lodging markets such as Hawaii, San Francisco and Portland. Third, we remain disciplined balance sheet managers. We reduced our cost of capital, further staggered our debt maturity profile and expanded our unencumbered asset base. We completed a $565 million refinancing that will result in approximately $10 million of interest expense savings per year and we raised over $325 million in our first follow on equity raise. After year-end, we also announced a number of strategic transactions that positions us for continued growth in 2014 and beyond. We recently announced our intent to acquire portfolio of 10 Hyatt branded properties that will substantially increase our presence on the West Coast. Once we close on Hyatt portfolio, we will have acquired 46 assets for more than $1.8 billion over the last four years. The addition of these higher growth assets has been immediately accretive to our overall RevPAR and geographic profile. There are also things to report that we have generated significant momentum in our capital recycling program. We recently announced a sale of a portfolio of 11 hotels for about $85 million. We remain committed to aggressively recycling capital from non-core assets into higher growth properties. We have several other assets in various stages of the sales process that we will provide further details on if and when they close. The sale of these non-strategic assets will also be immediately accretive to the portfolios RevPAR and our overall profile. These two announced portfolio transactions will shift our product mix to higher RevPAR assets and increase our presence on the West Coast, which we have been targeting. We are cautiously optimistic by the steady economic improvement. During the fourth quarter, unemployment decreased and consumer spending improved. Furthermore, corporate profits continue to grow, interest rates remained low and businesses continue to invest which all bode well for the lodging industry. The lodging sector enjoyed its fourth consecutive year of positive RevPAR growth of demand continue to outpace supply. We believe that we are in the middle innings of this cycle and there is plenty of runways for continued growth. Although we are seeing a moderate uptick in supply, it is still well below the long-term average. Furthermore, we expect demand will continue to outpace supply growth as the U.S. economy continues to strengthen and international arrivals continue to increase. For the full year, Smith Travel reported U.S. RevPAR growth of 5.4% specifically for the upscale and upper midscale segments, which are most representative of our portfolio; Smith Travel reported a 5.3% increase and a 4.2% increase respectively. Using Marriott’s limited service hotels as an additional benchmark, RevPAR grew 4.4%. Our RevPAR once again exceeded both U.S. RevPAR and Marriott’s limited services hotels by more than 170 basis points. Our excellent portfolio drove strong results for the full year despite tougher comps for the fourth quarter. As expected, sequestration and tougher comps business generated from super storm Sandy muted growth in the quarter. However for the full year, we still outperformed the industry and generated RevPAR growth of 7.2% and EBITDA margins of 34.5%. Moving on to our top markets, I'll begin with Houston, our top performer for the year. Our hotels continue to benefit from strong corporate transient demand generated from a booming oil and gas sector. For the quarter, we generated double-digit RevPAR growth and ended the year with 15.7% RevPAR growth primarily driven by rate increases. We expect corporate demand will continue to expand and that our Houston assets will outperform in 2014 with growth in the high single-digits. Austin also showed consistent outsize growth throughout the year. Our hotels produced a RevPAR gain of almost 9% for the quarter and ended the year with just over 11%. As previously discussed, strong corporate demand from companies such VISA and Apple, as well as leisure demand from citywide events such as Formula 1 and Austin City limits contributed to the market’s strong results. We expect that the expanded schedule of Austin City limits and the growing corporate demand base will lead to another year of outperformance in 2014. In New York, we benefited from the renovation tailwind of our Doubletree Met hotel and ended the year with RevPAR growth of 10.2%, more than twice the market’s growth rate. For the quarter, our properties faced tough year-over-year comparables. If you recall, last year, our fourth quarter experienced double-digit RevPAR growth as a result of the leased efforts and displaced residents from super storm Sandy. As we look into 2014, we expect to get a moderate boost in Q1 from Super Bowl related compression, but anticipate full year growth to be modest as market continues to observe new supply. We remain confident in New York's long-term market fundamentals. In Denver, RevPAR growth in the fourth quarter was particularly strong at 13.4%. During the quarter, we benefited from FEMA and EPA extended stay business that was attributed to flood recovery efforts, which helped us end the year at 6.8%. Looking ahead, we expect our hotels to generate mid single-digit growth in 2014. In Chicago, we saw modest RevPAR growth of 3.8% for the year. As previously noted, our hotels have benefited from several large local projects including a BP refinery project and U.S. steel manufacturing projects. With these projects now wrapped up, compression in the market has tapered. Looking ahead, we expect low to mid single-digit growth as a result of tougher comps through the completion of these projects. In DC, we were pleased to end the year outperforming the market. For the year, RevPAR was relatively flat as the effects of sequestration and the government shutdown impacted overall compression. While we expect there to be lingering effects from these events, we believe our assets are well positioned to post modest growth for the year and outperform the market once again. And finally, we continue to maximize portfolio value through strategic capital investments. Our most recent four conversions continue to ramp up and in 2013 these four assets recorded RevPAR growth of 17.8%. In 2014, we expect to continue to see growth from these assets and from our Hotel Indigo in New Orleans which has now been opened for a year. As we complete the last two brand conversions underway in Houston and San Francisco, as well as reopen our Atlanta property, we expect that these assets will drive further growth for the portfolio in 2015 and beyond. We remain committed to enhancing our portfolio to accretive acquisitions and expanding our presence in higher growth markets. In addition to the higher portfolio, in 2013, we acquired five hotels in two hotel conversion opportunities for just over $200 million. We increased our exposure in high growth markets like Houston, Atlanta, and Portland, and expanded into new high barrier to entry gateway markets like Hawaii and San Francisco. We leveraged our deep industry relationships and acquired several of these high quality assets at a significant discounts replacement costs. This combined approach allows us to yield attractive risk adjusted returns on our investments, our new acquisitions in 2013 generated a RevPAR of more than $133, which is more than a 25% premium to the portfolio average. A higher portfolio is under contract for approximately $330 million. The purchase price represents approximately an 8.5% cap rate on a projected 2014 net operating income. This acquisition will allow us to substantially increase our West Coast presence and expand our strategic relationship with Hyatt. Hyatt acquisition is further testament of our ability to become in-aggregate in the urban focused service space. While we plan to expand our capital recycling program we expect that for the year we will remain net bias. In addition to the higher portfolio, we have a very active deal pipeline. We are still under contract to purchase the Hilton Cabana in Miami which we expect will be completed by the developer in the next two months. Our well diversified portfolio’s outsized growth continued to outpace the border lodging industry and marks a third consecutive year of consistent performance. Our outlook for 2014 reflects positive industry fundamentals and an increase in leisure and corporate travel. We expect that ongoing improvements in corporate profits and consumer confidence will further improve the lodging industry. Demand growth is expected to outpace supply pushing occupancy levels in many markets above prior peak levels. With higher occupancies expected and supply still below the historic average, we are encouraging our hotel managers to have greater courage this year to drive rate increases. Therefore, we expect 2014 pro-forma RevPAR growth of 4% to 6%, pro-forma hotel EBITDA margin between 34.5% to 35.5% and consolidated hotel EBITDA between $338 million to $358 million. Our guidance does not reflect our pending Hyatt deal but it does exclude our recent dispositions. Once the Hyatt transaction closes we will provide updated guidance. I will now pass the call over to Leslie to provide some additional information on our financial performance for the quarter and the year.
Leslie Hale: Thanks Tom. We are very pleased to report that all of the enhancements that we have made for our portfolio are translating to continuous growth our focus on operational excellence, prudent capital allocation and active balance sheet management is providing an excellent foundation for our financial health. Our strong operational performance generated increase of $25.7 million to our full year hotel EBITDA. This increase represents an 8.2% improvement over the prior year. For the quarter, our adjusted EBITDA increased $6.3 million to $77 million, representing an 8.9% increase over the same period last year. For the full year, adjusted EBITDA increased $43.4 million, $311 million representing a 16.2% increase over 2012. Our adjusted FFO this quarter benefited not only from our strong operating performance but also from our proactive balance sheet management, which resulted in significant interest expense savings. As a result, our adjusted FFO increased $11.9 million to $62.7 million representing a 23.5% increase. For the quarter, adjusted FFO increased to $0.51 on a per share basis. For the full year adjusted FFO increased $61 million and $246.6 million representing a 32.9% increase over 2012. Both adjusted EBITDA and adjusted FFO reflect add backs to normalize our operating expenses. Adjustments worth noting for the quarter include a $2.1 million gain related to our sales of a (inaudible) which is completed in the fourth quarter, complete adjustments are noted in last night’s press release. Now turning to our balance sheet and capital market activity, due to transactions this year enable us to have another healthiest balance sheet in the industry. At the beginning of the year we completed our first follow on equity offering since our IPO. We received strong demand from both new and existing institutional investors and ultimately upsize of these transactions by 20% fully exercising the overallotment option. We made it over $345 million in total proceeds. The shares were offered at one of the tightest discount for [REIT], executing a first time follow-on since 2009. In third quarter, we completed a comprehensive $565 million refinancing that allowed us to retire some of our higher price debt. As previously communicated, we expect to realize approximately $10 million of interest expense saving on an annualized basis. In aggregate we would have saved more than $40 million in interest expense since becoming public. In addition, this transaction further staggered our debt maturities and increased the percentage of our total unsecured debt to 60%. As of yearend, we had a total of 110 unencumbered assets that represents approximately 70% of our portfolio 2013 total EBITDA. With the strong performance coming from our properties, we continue to generate significant cash flow from operations. We ended the year with an unrestricted cash balance of $332 million and an undrawn credit facility of $300 million. With an outstanding debt balance of $1.4 billion at year end, our net debt to adjusted EBITDA ratio was 3.4 times. Our strong cash position provided us with ample liquidity for future acquisitions and capital improvements. We plan to recycle capital from our recent hotel sales as a higher yielding such as the high transaction. In addition to available cash on hand, we planned (inaudible) approximately $175 million as a higher transaction with debt. Mostly close that transaction we will provide further guidance We remain committed to maintaining low leverage, having service capital structure and achieving our goal of investment grade. Our solid cash position also allowed us to deliver meaningful return to our shareholders. In the fourth we distributed a regular cash dividend of $0.205 and a special dividend of $0.035 per share. For the full year we distributed a total of almost $0.86 per share for our shareholders representing an increase of approximately 22% over the prior year. Our goal continues to be maximizing shareholder returns through both long-term growth and regular dividend. Since gone public we have distributed almost $2 per share of dividends or almost $225 million in total. Shareholders have seen more than 50% total returns since our IPO. As we continue to successfully execute our growth strategy we will remain committed to delivering shareholder returns through dividend growth. Moving on to capital expenditures, in 2013 we substantially completed our $45 million capital improvement program across 25 hotels with minimum disruption. In 2014, we expect to start approximately $90 million to $95 million of additional value add capital improvements across 20 hotels, including our fleet conversions in Atlanta, Houston, and San Francisco. These three conversions will account for almost half of the total capital deploy in 2014. We expect that on a relative basis it will be modest disruption resulting from these renovations. The greatest disruption is expected to be at our Fairfield Inn & Suites in U.S. which is expected to impact our top-line growth by 20 to 25 basis points on an annualized basis and this has already been captured in our annual guidance. Before we discuss our 2014 outlook I’d like to remind everyone that our guidance excludes the hotels we just sold and does not reflect the Hyatt portfolio. We will provide updated guidance when that transaction closes next month. First, our pro forma RevPAR growth of 4% to 6% and EBITDA margin of 34.5% to 35.5% are adjusted for non-comparable hotels. This year, we have one non-comparable hotel, the Residence Inn Atlanta, which is currently being renovated. Second, we estimate that our hotel EBITDA will be between $338 million to $358 million for the full year of 2014. Third, we expect that our corporate G&A will be between $25 million to $26 million. And lastly, as we look at our other corporate expenses, we expect to achieve substantial interest expense savings from our comprehensive refinancing. However, we anticipate that the use of additional debt for the Hyatt acquisition will partially offset some of the savings. And again, we will provide further color once that transaction closes. Thank you. And this concludes our remarks. We will now open the line for Q&A. Operator?
Operator: Thank you. At this time, we will be conducting our question-and-answer session. (Operator Instructions) Our first question is coming from the line of David Loeb with Robert W. Baird and Company. Your line is now open. You may proceed with your question.
David Loeb - Robert W. Baird and Company: Good morning folks. Sorry.
Tom Baltimore: Hi David.
David Loeb - Robert W. Baird and Company: Sorry (inaudible) probably a lot of people did. I wonder if you could just go back and talk a little bit more about the acquisition environment and I’m also particularly interested in your, the people you are talking to are interested in taking stock or units in deals, is that something that is under consideration?
Tom Baltimore: First, David good morning, I hope you are well and I realize that probably many are calling from the Hilton call. And I am not sure if it’s a good thing or bad thing to follow my good friend Chris Nassetta, but we’ll evaluate that in the future. Regarding your first question, regarding the acquisition environment and I think it’s certainly competitive, there is a fair amount of capital out there from some of the private equity sources as well as our REIT [brothering] and high net worths and many others. If you look at our history, I think we’ve got a lot of success in finding off market deals and sort of direct deals; I think Hyatt is a good example of that, I think the Hilton Cabana is another certainly great example of that. And so while it’s certainly competitive, we are confident that we will continue to find attractive opportunities that fit our investment criteria and that create value for our shareholders. Regarding the [used] units, we do get that question from time to time; it’s not something that generally we are open to. If the deal is of scale and makes sense and if there are unique situations, we certainly would consider it. I think you’ve seen and those listeners have seen that we protect the currency and we have all done one follow on equity raise since we went public. And we still think like I think all CEOs will make the case that there are undervalued in our case we really believe it and I think we are. So we are going to, we’re certainly going to hesitant and thoughtful if we were to consider opening units in a transaction.
David Loeb - Robert W. Baird and Company: Okay. And on the Hyatt portfolio, there is a pretty substantial amount of CapEx; do you expect some disruption from this and what are the growth assumptions to get you to that 8.5% cap rate, both top and bottom line?
Tom Baltimore: Yes, I would say we are really excited about the Hyatt transaction. And as I’ve said from day one, as it relates to sort of the select service or focus service space, we really think it’s a [horseless] with Hyatt, Hilton and Marriott and we think there is a lot of running room with Hyatt. And we are really thrilled to do expanding our strategic relationship. What we liked about this transaction was obviously, there are -- it was direct, there are 10 hotels, 7 of which are in California from Northern California through LA and we got San Diego and very optimistic. And we are comfortable with the press release and information we put out so far and certainly that 8.5 cap in the first year. There will be $25 million invested over the next two years. We will seek to minimize the amount of disruption. There will be some, I think it’s unavoidable. I think you’ve seen in the history, if you look back obviously what we did in ‘11 and 2012 where we had 45 and 43 assets respectively under renovation. I think we are skilled as anyone in finding the right windows. Our design and construction team and asset management teams work very closely to optimize that with our management companies. So and most of the capital is really isolated in four assets, and so we think that two of those will likely be done this year and then the balance will be done in earlier ‘05 or later -- excuse me, early 2015, perhaps a little later in 2015, depending on seasonality. So we are still working through that, but we are cautiously optimistic, we think this deal is not only going to be accretive and going to create long term value for our shareholders but we are excited about also doing more deals with our partners at Hyatt.
David Loeb - Robert W. Baird and Company: It does sound like a very interesting transaction and pretty high return. Just one kind of footnote question on that return, is the 8.5 calculated on the 312.5 purchase price or the all in 337.5?
Tom Baltimore: That’s based on purchase price. It would be mid to high 7s if you incorporate CapEx into that.
David Loeb - Robert W. Baird and Company: Perfect. Great, thank you very much.
Operator: Thank you. Our next question is coming from the line of Neil Malkin with RBC Capital Markets. Your line is now open. You may proceed with your question.
Wes Golladay - RBC Capital Markets: Hey guys, this is actually Wes Golladay. Quick question on the Hilton Cabana, what do you see that assets stabilizing at and what would the initial yield be?
Tom Baltimore: Hello Wes, good to hear you. We’re very excited about Hilton Cabana, obviously what’s happening in South Florida and given the amount of development there on the residential side and some of the job growth that’s happening, (inaudible) as well. We think long-term this is going to be another great addition to our portfolio. It has been somewhat delayed, we hope to close in late December, early January. The development group is working hard and we expect hopefully that will close within the next 60 days. I believe what we’ve said in the past and we’ll still stand by that is I think in the low 8 cap in the first full annualized year, we certainly think that will, and that will generate returns. We’re typically looking for unlevered returns in the 10% to 12%. We certainly expect that this investment over that five, six year period will be in the higher end of that range, but I would say initially about an 8 cap.
Wes Golladay - RBC Capital Markets: Okay. And then looking at the balance sheet, do you guys have a timeframe maybe this year for the investment grade rating?
Tom Baltimore: We plan to continue to evaluate that and we certainly inspirationally have that as a goal when I’m moving away from that. Wes as you know the balance sheet is in interesting shape and we went public at net debt to EBITDA just south of 10, we’re probably today in 3.5. So, a bit artificial given the penny transaction in Hilton Cabana but clearly our threshold been well south of 5, we’ll be able to maintain; and long-term, we’re going to be moving that down into the low 3 range. Leslie and her capable team will be initiating discussions this year. We hope that when we start taking on tranche as down in ‘15 that we’ll be in a position to really be making a strong case for investment grade. And Leslie, I don’t know if you want to add anything.
Leslie Hale: No.
Tom Baltimore: Okay.
Wes Golladay - RBC Capital Markets: Okay. Now, looking at the conversions, do you have any more conversion in the deal pipeline right now? And will you be capitalizing any costs such as interest for the current conversions?
Tom Baltimore: I’ll let Leslie answer the interest capitalization question. Regarding the conversions, Wes, as we’ve said before and I am not sure that the market is giving us some -- any credit at all for these three pending conversions, one being in San Francisco, again Post Street three blocks from Union Square, Bull’s Eye Real Estate. Again that conversion to a core yard we hope and expect that that’s going to be done in late ‘14 or late ‘15 at the latest. Obviously we’ve got project in downtown Houston. As you may recall, we’ve bought the Humble office portfolio which included a Courtyard, Residence Inn; we are converting the apartment building to a Springhill Suites. Just incidentally our Houston assets had a phenomenal 2013, they were up 15.7%. We own 8 hotels in Houston. All of them are up double-digit increases in RevPAR. So, we’re very excited about this addition to our portfolio. We expect again that that’s going to -- that should open in late ‘14 or early ‘15, again providing long-term growth for us there. Our Atlanta again showed our ability through a debt foreclosure. We've got 78 keys there, we bought it -- our original debt balance I think was about $10 million, we bought that for $5 million. We've commenced about $7.5 million renovation and we’ll bring that back online in Midtown in late ‘14 as well early ‘15, so all three of those great opportunities provide a tremendous growth for the portfolio in the future. Regarding other deals, as we get later in the cycle, we’re going to be more thoughtful and more careful about certainly doing brand conversions. We do think that our scale of course is with an opportunity we’ve been be looking at those, but we’re certainly going to be thoughtful about those that we accepted. In all three of these we think we’re going to generate outsize returns for our investors. Regarding interest capitalization, I’ll let Leslie answer that.
Leslie Hale: Sure. Wes, on the capitalized interest our internal policy is really driven on the duration of the project, so I would anticipate in Atlanta we would necessarily have any, but on Vantaggio, within San Francisco and also on our other conversion we would try to have them on Houston.
Wes Golladay - RBC Capital Markets: Okay. Thanks everyone.
Operator: Thank you. Our next question is coming from the line of Jordan Sadler with KeyBanc Capital Markets. Your line is now open. You may proceed with your question.
Jordan Sadler - KeyBanc Capital Markets: Thank you. Good morning.
Tom Baltimore: Good morning.
Jordan Sadler - KeyBanc Capital Markets: Good morning. Just curious to thinking a little bit on the Hyatt portfolio a little bit, Tom, could you maybe talk about the hotels I know none of them were Hyatt House and just strategically or technically extended stay model, any thoughts on moving in that direction and sort of the opportunity there?
Tom Baltimore: Well, we've always been big believers in the extended stay model, if you look at our portfolio today; we have sizable investments in both Marriott Residence Inn and Homewood Suites by Hilton both of which have been strong performers provide pretty strong RevPAR index, they provide great RevPAR, certainly strong margins. And we are big believers again in Hyatt and Mark Hoplamazian and his team there. We think that there is a lot of growth potential for the Hyatt House brand. We are again as part of this transaction getting seven of those as I recall correctly and again a young brand still ramping up and again seven of the assets being in California obviously are also included in that are Downtown Charlotte, we’re also getting a big Hyatt that’s in the Woodland area, Houston I just talked about how strong Houston has been. And of course we are getting a Hyatt place there in Madison Wisconsin which is bull’s eye real estate there and a state capital and the university town. So we like the metrics as we reported about $120 RevPAR, 14% plus or minus above our 2013, end of the year RevPAR about $106 for the portfolio, but we think also a lot of outsize growth as we move forward. And to be able to get in, in a brand that has some distribution, but has a lot of potential and clearly under that stewardship of the Hyatt family brands we think is going to be good for us and for them.
Jordan Sadler - KeyBanc Capital Markets: That’s helpful. Maybe moving to the transaction side, it sounds like there is still plenty to do on both sides’ investment and dispositions. Curious disposition sounds like there is more out in the market still which has not been a surprise relative to previous conversations. Is the timing or anticipation of incremental asset sales near-term or was this first $85 million kind of the first one to go which is just wait till later in the year to see an excellent growth?
Tom Baltimore: I would say, as we announced before, we had 15 assets plus or minus. There have been 12, obviously the 11 plus the 12 we mentioned in fourth quarter we closed one sale in Memphis. We do have another pending transaction of single asset sale that candidly we will be announcing either tomorrow no later than Monday that was embedded in our guidance that we announced today both first by me and then again by Leslie. We are going to be very active and looking for opportunities to continue to recycle capital. We do have several other single assets that we think are at early stage of the process. And again, if and when they close, we certainly will announce. And you can expect that we will continue to look at other assets and other portfolio of combination opportunities for sale. I would say another 10 to 15 assets that we are currently evaluating and that we would be listing with [brokers] here in the near future.
Jordan Sadler - KeyBanc Capital Markets: In terms of the magnitude would the scale be similar to the first 85 for that [mixed flow]?
Tom Baltimore: I think it will be in that range and could be slightly higher in terms of overall value.
Jordan Sadler - KeyBanc Capital Markets: Okay. And then maybe for Leslie just given sort of the combination of performing acquisitions and the sales closing, how is the balance sheet positioned, I know you have 340 in net debt to EBITDA at quarter-end, but pro forma of all these transactions, how are we positioned and how should we think about sort of capital for 2014?
Leslie Hale: Sure. As we mentioned before we obviously have enough capacity of cash and debt capacity to be able to take down all the transactions and obviously with the disposition happening I just want more ample cash as well. As Tom mentioned before, obviously acquisition pushes our net debt to EBITDA artificially low to frequent for we believe after taking into consideration $175 million that I mentioned before for Hyatt then we went up in the low four net debt to EBITDA basis, so we're in a very, very strong position and positioning ourselves again for investment grade strategy.
Jordan Sadler - KeyBanc Capital Markets: Okay. Thank you.
Tom Baltimore: Jordan one thing on that that Leslie pointed out net debt to EBITDA in the low fours, keep in mind that does not include any other subsequent sales. So as we continue to look to recycle capital again that will bring then although allow us to pay down debt or use it for general corporate purposes or obviously to recycle that (inaudible) transaction. So the balance sheet is in pristine shape, Leslie and her team has done a fabulous job, it's a key pillar of our strategy and I think we demonstrated that over the last few years as a public company.
Jordan Sadler - KeyBanc Capital Markets: It just reflects the first $85 million, the sale of the first $85 million, right?
Tom Baltimore: It does.
Jordan Sadler - KeyBanc Capital Markets: Okay. Thank you.
Operator: Thank you. Our next question is coming from the line of Bill Crow with Raymond James & Associates. Your line is now open; you may proceed with your question.
Bill Crow - Raymond James & Associates: Hey, good morning guys.
Tom Baltimore: Good morning Bill. How are you?
Bill Crow - Raymond James & Associates: A follow-up on that last question, you mentioned that the asset disposition to be announced in the next day or two is it included in your guidance is that correct? And if that is the case with magnitude of the sale how much EBITDA might be going away?
Tom Baltimore: Bill, it's $15 million transaction plus or minus another $3 million of EBITDA plus or minus.
Bill Crow - Raymond James & Associates: So $100 million in sales is embedded in the guidance and what $12 million of EBITDA somewhat in that range?
Tom Baltimore: Yes, it sounds about right, plus or minus.
Bill Crow - Raymond James & Associates: Okay, great. Any update you can give us quarter-to-date on how things were looking for the portfolio?
Tom Baltimore: We were up in January about 4% revenue per available room, generally in line with our plan. We are cautiously optimistic as you look at it, transient forecast over the next 90 days. We’re showing about 5% increase booking pace on group is just north of that probably 5, 5.5%. So we’re cautiously optimistic and we’re -- no doubt I think we tend to be conservative as you think when your peers are seeing. If you look again at our history over the last three years we’ve had RevPAR growth of about 22% and we’ve been over 7% in each of the last three years. We pride ourselves on meeting or exceeding. So we’re comfortable with the guidance that we’ve given so far recognizing obviously we’ve had a lot of impact from the weather getting of the facility we avoided that in some markets we’ve benefited. If you take Chicago obviously one side our CBD Hotels got hit hard, our hotels in midway really been incredible well in fact heavily in January we’re up about 40% there and down probably a similar number in the CBD. So we feel comfortable with our guidance at this point, as both Leslie and I pointed out earlier in our prepared remarks. So please keep in mind that both RevPAR guidance that we’ve given and the hotel EBITDA guidance at this point they do not include or not reflected of in any way performing trending higher portfolio sale, as well as the Hilton Cabana so that’s about $400 million of transactions again that should close, Hyatt should schedule to close in mid-March. I mean we’re hoping that Hilton Cabana when the developer completes substantially completes in accordance with our purchase and sale agreement that will close in late April or early May. And that we will reasonably be confident with that at this time.
Bill Crow - Raymond James & Associates: Great. And two more areas, quickly as like you guys have said everything but say that equity rises off the table. So given your cash balance even with the $400 million of acquisitions you just talked about, there is no reason to go back to the equity market at this stage, or is that fair [for the same reason]?
Tom Baltimore: Yes, Bill I would answer it this way. We certainly have no need to go to the equity markets and again I would point out for the listeners and we’re quite proud of this, in our three year history, we've done one follow-on equity raise. Our interests are aligned with shareholders. We are going to protect into everything we can to create value for shareholders and when we go to the market it’s going to be, because we need the equity, we’re not going to over equitize our transactions. I would also add and I think it’s one of the real fundamental benefits to our strategy is that we generate so much more free cash flows than our peers that we don’t need to go back to the market as often. As evidence of that keep in mind that we've acquired now including Hyatt, it’s a public company that will be nearly $900 million in acquisitions. We have paid out about $225 million in dividends and we've spent well over $250 million plus or minus in CapEx during that period of time and we've had to be the one equity follow-on with it. So I’m not ruling out when in the future to the extend we have other transactions or other needs, but we will be careful, we will be prudent, and we will look to protect shareholders’ interest and make sure that we’re selling stock in appropriate level. And furthermore our current guidance also does not include any of the other three conversions that I mentioned again that will come on in late ‘14 and ‘15 which we think are going to provide again great lift for the portfolio.
Bill Crow - Raymond James & Associates: Great. You kind of led me into the last topic which is and you mentioned your stock being undervalued so the market doesn’t give you credit for those conversions. How do you think that you have been challenged to get a multiple that may better reflect your portfolio what, you guys have been doing the balance sheet et cetera, what can you do for example (inaudible) just put out a presentation in which they went through kind of an asset valuation that would argue for a much higher share price on a per Q basis. Is there anything you have thought about doing that would better illustrate the value underlying the portfolio?
Tom Baltimore: It’s a great question. So I would answer this way. We are focused I would say almost obsessed with again our three key pillars and that’s focused most importantly on our operational excellence, doing what we say we are going to do, posting good numbers each quarter. I think we’ve done that again if you look at our performance over the last three years RevPAR being up 22%. I think our EBITDA is up probably in the high 30s and low 40% over that period of time. Our total shareholder returns are north of 50%. Our balance sheet is certainly one of the best in the industry. Our margins I think are at or near the comp of the industry. So we are really focused on the blocking and tackling and executing our business plan. Again we’re going continue to be prudent capital allocators, making sure that we do smart deals and when we reinvest back in assets again it is an ROI (inaudible) makes sense and then finally keeping a lean balance sheet ultimately as fine and getting to investment grade. We think overtimes we continue to post good numbers and execute and market will ultimately see that and give us credit. We are thinking in other ways, you will see me more and more active on the road shows, you will see me more and more and more talking about our performance. I think we got enough of a track record now, so it stands up. And then I think also driving home the point amount of free cash flow that we generate from this strategy. But sometimes I think it’s lost, it is a lot of my full service brethren have to reinvest so much of their capital, back into those large aircraft carriers that it erodes their ability for growth and it erodes their ability to provide incremental dividends. We don’t have any of those constraints. We stand by our strategy when we think overtime all those investors that take a closer look will see the benefits of what we are doing.
Bill Crow - Raymond James & Associates: Right, thanks Tom and Leslie.
Operator: Thank you. Our next question is coming from the line of Lukas Hartwich with Green Street Advisors. Your line is now open. You may proceed with your question.
Lukas Hartwich - Green Street Advisors: Thank you. Good morning.
Tom Baltimore: Hi, Lukas. How are you?
Lukas Hartwich - Green Street Advisors: Good. How are you?
Tom Baltimore: Doing well, thanks.
Lukas Hartwich - Green Street Advisors: All right. Tom, can you comment on what you are seeing on the expense side on your portfolio?
Tom Baltimore: I would answer this way Lukas. I think one of the things look like proud, if you look at our margins and keep in mind that we have got an embedded advantage of many of peers finished last year at about 34.5%, I think that is certainly among the highest if not the highest. And I think we consistently had a, as you think again comparing this is some of the full service (inaudible) you have got to have a 500 point or 1,000 point basis points advantage. Clearly there are some margin challenges that I think not only in our portfolio, but I think in the industry, I think one obvious, one is really property taxes, as a lot of the municipalities get more and more challenged clearly property taxes and the commercial property owners is a way that they certainly seek to gain more revenue. We're working through that. Howard Isaacson and our team of the asset management side and Leslie’s team, we are aggressively appealing and working through that. But we do see some increases there, clearly wages and benefits and I'd say in New York where [Lodging Union] operated, you're going to see sometimes that the agreements provide for the increases in wages that in some cases outstrip or run ahead a little bit of the growth in revenue clearly, New York is going to be challenged in the short run given all the new supply and so that supply gets absorbed. Although, we're still seeing high occupancies, even in our own portfolio, it's really you're not generating the kind of rate, therefore you're not getting kind of a flow through that, I think we've enjoyed historically in New York. And then I think the last issue that I think we are all, I think many of the REITs and some of the property owners are faced with this, but I call sort of the brand demand we creep as we get later in the cycle and as you get more and more competition between the brands you do get these add-ons that they are clearly good for the customer on one hand, but also are costly to the owner. And so there are probably three elements there that certainly are having some impact, we're confident in the guidance that we've put out, but I would also keep in mind that we do have a much higher, we start with a much higher base than most of our peers.
Lukas Hartwich - Green Street Advisors: Okay. That's really helpful. And do you guys disclose the forward multiple on the portfolio sales?
Tom Baltimore: We have not at this point.
Lukas Hartwich - Green Street Advisors: Okay.
Tom Baltimore: Well I’d answer it this way as I’ve said before as you look at kind of the terms. We’re typically looking for unlevered IRRs in the 10 to 12 range I would clearly expect that the Hyatt deal would be in the mid to higher end of that range in the long-term. We feel very confident about the portfolio and again excited about this, bringing this portfolio into our, bringing this 10 hotel portfolio into our greater and our larger portfolio.
Lukas Hartwich - Green Street Advisors: Great. So I think you might have spoke that, and then the portfolio of sale of the $85 million?
Tom Baltimore: I am sorry. I misunderstood your question Lukas. I mean, I think as we put out we were probably 7.9% after CapEx and before CapEx that’s probably high 9 on our cap rate basis I don’t have the full multiple basis with me right now, but we’ll get that and I’ll have Leslie or someone on the team call you back to make sure you have that.
Lukas Hartwich - Green Street Advisors: Great thanks. And then I just have one quick housekeeping question. The special dividend Leslie, was that just a day of taxable income or what was that for?
Leslie Hale: Yes. Obviously our portfolio performed relatively well last year and so obviously as a REIT we have requirement to distribute in accordance with our retaxable and our retax so yes that was associated with that.
Lukas Hartwich - Green Street Advisors: Okay. Thank you, guys.
Operator: Thank you. Our next question is coming from the line of Ryan Meliker with MLV and Company. Your line is now open. You may proceed with your question.
Ryan Meliker - MLV & Company: Hello everyone. How’s it going guys? Just a quick one here kind of I guess a little bit of follow-up to Luk’s questions earlier. When we talk about the Hyatt portfolio 8.5 cap rate sounds pretty attractive. We’ve heard a lot of others, like service portfolios going closer to the 7% cap rate range from private equity. I’m just wondering how you guys are able to win this 8.5 cap rate; was it that private equity wasn’t playing; is the relationship at Hyatt really got them to take a lower bid; or was it, you were a little more aggressive in terms of your outlook for 2014, maybe than some of the other bidders? Just trying to really understand given that how leverage has grown so much more rapidly the amount of capital private equity had to put to work, and where we’ve seen them chase if you hedge the cash flowing assets at much more aggressive cap rates what you were able to acquire for?
Tom Baltimore: First of all Ryan, it’s great to talk with you and glad that you picked up coverage on us and look forward to working with you and your team. I’d answer this way, consistent with what I said with David. We’ve had a long history and a lot of success in finding deals sort of off market, we pride ourselves on that. Ross Bierkan, our Chief Investment Officer who’s been with me for 15 years now. And we identify assets, potential partners and we work that for many years. This discussion with Hyatt didn’t happen over three or four months, I would say it happened over well north of a year. And I think it really benefits both companies. I think they were looking to go more asset light, I think they were looking to sell the groups that they could continue to grow with. Hyatt is going to continue to manage the portfolio. We’re excited about figuring out ways to grow with them. And so I think it was really a strategic benefit for both companies. And I think that really drove that. And if you’re looking as part of to maximize and get the absolute last nickel, perhaps you can take a different route. But I think for them and for us, we see this as really the beginning of -- we had already had six Hyatt assets plus or minus, but now adding another 10, we think this is another way for us to continue to grow and seek opportunities with them. Regarding some of the other sales, I am not going to comment on other transactions but we are focused like a laser beam in figuring out ways to continue to create shareholder value for our shareholders and again single asset, small portfolios, M&A and we are certainly open to all of it.
Ryan Meliker - MLV & Company: Great, that’s good color on the transaction. And one other little question I had for you, as you mentioned in your prepared remarks that the Super Bowl was actually a bit of a boost on 1Q, we heard from [Harsha] that it was only about 50 to 75 basis points for them in 1Q; did you see a more material impact than that?
Tom Baltimore: No, I think that’s probably pretty comparable, anecdotally I think we were up about $78 in RevPAR during Super Bowl and flat occupancy. But keep in mind, our New York hotels run high 90s to begin with. I think we had incremental revenue, about $500,000 plus or minus. But candidly that was slightly below what our expectations were. So, I think as many have said, Super Bowl was net position. But given the fact that you start with New York and Greater New Jersey at 150,000 rooms plus or minus, it’s not going to create the kind of compression, the kind of impact that recent Super Bowls have in New Orleans and Indianapolis or other markets. So good for the market but I am not sure it was necessarily great from a hotel standpoint. Also keep in mind, for us in fourth quarter of 2012, we were up, we had a wonderful quarter. So, we were up north of 10% plus or minus. And so it was positive but I don’t think it had a bodacious impact that perhaps others had hoped for.
Ryan Meliker - MLV & Company: Fair enough, that makes sense. That’s all from me. Thanks a lot, I appreciate the color.
Operator: Thank you. Our next question is coming from the line of Anthony Powell with Barclays. Your line is now open. You may proceed with your question.
Anthony Powell - Barclays: Hi. Good morning, everyone.
Tom Baltimore: Good morning, Anthony. How are you?
Anthony Powell - Barclays: Good, how are you?
Tom Baltimore: Good, thanks.
Anthony Powell - Barclays: Houston and Austin were very strong throughout 2013. How does the event calendar incorporate trends, (inaudible) both markets this year?
Tom Baltimore: Houston is just one of those markets as I said before, were up 15.7%, in ‘13, up 11% for fourth quarter. And if you look at the 8 hotels that we own, we were up double digit RevPAR growth in every single one of our hotels. And if you look at the two recent acquisitions, both the Courtyard that we bought and Downtown the Humble office building as well as Residence Inn, both were up 16% and 14% respectively in RevPAR. So, really excited about what is happening there, even more thrilled for our apartment conversion that’s again coming on line in late ‘14, early ‘15. We think as you think about job growth and pro business and less regulation and all the great things happening, both in Houston and in Austin, we are bullish long term on both markets. But we think probably Houston is looking at, I think PKF had them at mid to high single digits. We would certainly expect that to be in that range if not better. We have consistently outperformed in Houston and have no reason to believe that doesn’t happen again in 2014. As we look at Austin, keep in mind Austin, we were up 11% and we were up I believe about 8.9% in fourth quarter. Keep in mind we were up 30% in Austin in the fourth quarter of 2012. So, despite that we finished the year again with outstanding performance. And you did get the benefit of state legislature in session last year that historically is provided for about a 180 basis points of RevPAR. So, you sort of loose that a little bit as you move into ‘14. But you’ve got F1, you’ve got the Circuit of The Americas track also, I believe they had 6 or 7 events last year, and we expect then most of those events to continue into ’14. You clearly have Austin City Limits which the outlook I think is very encouraging for that. You got the X games that I believe are going to commence in the Austin as well. And then of course you get the benefit of both the leisure, the growing corporate with companies like Apple and Visa and Samsung and others despite the fact that Dell might be contracting a little bit. Long-term, Austin is one of those great cities. Now we do have the risk and the reality of new supply coming. And obviously that’s going to, that will have an impact on the market that not lost on us and certainly not lost on others. But long-term, we feel very good about Austin. We also have the benefit of University of Texas Football and the incremental gains that are going to occur this year. So that two will create compression in the market. So, we feel good about the Southwest and what’s happening there. And again we’re also spending a lot of times on the deal flow side really looking at more and more opportunities out on the West Coast. We think that will round out our portfolio.
Anthony Powell - Barclays: Great. And one more on supply I guess. As far as the Northern California assets and the Hyatt deal, I’d imagine that there will be a lot of supply growth in some of these markets near San Francisco. Are you seeing the construction in those markets that concern you at all? Thank you.
Tom Baltimore: We’re not seeing incremental supply at this point. I think one of the things that makes California, the regulatory environment there, the difficulty of getting construction done. And many of these assets are extremely well located and lots of demand generators and a growing demand base. So we think that’s going to (inaudible) this portfolio and again give us a lot of incremental growth as we move forward.
Operator: Thank you. Our next question is coming from the line of Neil Malkin with RBC Capital Markets. Your line is now open. You may proceed with your question.
Wes Golladay - RBC Capital Markets: Hey, this is Wes Golladay again. Looking at FFO growth and taxable income, do you think this year taxable income will grow faster than FFO growth? I just wonder if you any special tax yields related to renovation activity from the past few years.
Leslie Hale: Yes. So it’s a complicated question and happy to give you more color offline. I think that at the end of the day we will grow our dividend and commensurate with the performance of our own portfolio to adjust for our taxation. So I think we’ll see some benefits from our NOLs but it’s not going to be enough to damper the growth of our dividend.
Tom Baltimore: And Wes, I mean also, I’d add, I know a lot of our peers are talking about raising the dividends, I mean again it’s an area where we’ve had such an advantage, we’ve paid out almost $2 in dividend since we went public. We were almost $0.86 last year; we were $0.70 a year before; we grew it by 22%. You will see us come out with a modest initial dividend growth. But the reality is we generate so much free cash flow. We’ve set a target of 55% of AFFO; we've generally met that or exceed that. You can expect again another strong dividend from us. And again the advantage of our overall portfolio and strategy is to know whether strategy would generating those higher RevPARs much better margins and a lot more free cash flow.
Wes Golladay - RBC Capital Markets: Okay. Thanks for taking the follow-up.
Operator: Thank you. At this time there are no further questions. I’d like to turn the floor back over to management for any closing comments.
Tom Baltimore: We thank everybody’s participation today and look forward to talking with you in another two months in our next call, safe travels.